Operator: Hello, everyone, and thank you for joining the MultiPlan Corporation Third Quarter 2022 Earnings Conference. My name is Darius and I'll be the operator for today. Before handing over to your host, Shawna Gasik, [Operator Instructions] I now have the pleasure of handing you over to your host, Shawna Gasik, AVP, Investor Relations. Please go ahead.
Shawna Gasik: Thank you. Good morning and welcome to Multiplan's third quarter 2022 earnings call. Joining me today is Dale White, Chief Executive Officer; and Jim Head, Chief Financial Officer. The call is being webcast and can be accessed through the Investor Relations section of our website at www.multiplan.com. During our call, we will refer to the supplemental slide deck that is available on the Investor Relations portion of its website along with the third quarter 2022 earnings press release issued earlier this morning. Before we begin, a couple of reminders. Our remarks and responses to questions today may include forward-looking statements. These forward-looking statements represent management's beliefs and expectations only as of the date of this call. Actual results may differ materially from those forward-looking statements due to a number of risks. A summary of these risks can be found on the second page of the supplemental slide deck and a more complete description on our annual report on Form 10-K and other documents we file with the SEC. We will also be referring to several non-GAAP measures, which we believe provide investors with a more complete understanding of Multiplan's underlying operating results. An explanation of these non-GAAP measures and reconciliations to the most comparable GAAP measure can be found in the earnings press release and supplemental slide deck. With that, I would now like to turn the call over to our Chief Executive Officer, Dale White. Dale?
Dale White: Thank you, Shawna. Good morning, everyone, and welcome to the call. By now, many of you have had an opportunity to review our third quarter results. I'll say at the outset that these results were disappointing, and while the predominant driver of the shortfall was the decline in patient utilization of healthcare services, I would be remiss if I didn't acknowledge our results but nevertheless fell short of our third quarter expectations. I'm going to cover three topics this morning. I'll provide some context around the market conditions and moving pieces that drove our third quarter results. I'm going to reinforce that we continue to see strong underlying demand for our services, are highly engaged with our customers and remain focused on investing in our business to drive growth. And then I'll review the action plan that our leadership is implementing to manage the business through these more challenging market conditions. Let's jump into our third quarter results. As shown on Page 4 of the supplemental deck, third quarter revenues of $250.5 million declined about $40 million from the prior quarter and fell about $30 million short of our third quarter guidance provided in August. Adjusted EBITDA of $172.2 million declined about $37 million from the prior quarter and fell about $28 million short of our third quarter guidance. Despite this quarter's results, we remain highly profitable, maintain best-in-class adjusted EBITDA margins and continue to generate significant cash flow. In the third quarter, our adjusted EBITDA margin was nearly 69%. We generated $109 million in free -- in cash flow from operations, and we ended the quarter with $439 million of cash on the balance sheet. Our profitability provides us with significant flexibility to navigate a challenging environment, while pursuing our strategic initiatives and to thoughtfully allocate our capital. Third quarter results exhibited an unusual, although not unprecedented level of volatility for a business that has typically just delayed stability and visibility. As shown on Page 6 of the supplemental deck, that volatility was caused by a confluence of factors. The single largest factor was external market conditions, which were characterized by a decline in healthcare utilization among health plan members. This drove lower savings volumes and mix shifts that was unfavorable to revenues. Separately, we hadn't anticipated shift away from us of a portion of an overall program at one of our customers. And then there were several smaller components that cumulatively impacted revenues yielded from our identified savings in the quarter. On our second quarter call, we noted that volumes reported by a number of hospital and health services groups, as well as lower medical loss ratios at some major health insurers were pointing to a sluggish patient utilization during the second quarter, and we noted that these trends were beginning to be reflected in our claim and charge volumes. Given our typical lag, the full extent of that sluggishness became evident in our third quarter results. As shown on Page 7, charges process declined approximately 2% sequentially to $31.4 billion. And while that may seem like a modest decline at the top of our claims funnel, it masked a mix shift in claim types that drove a larger 4% sequential decline in identified savings to $5.3 billion and a 7% decline in identified savings at the core of our revenue model as Jim will discuss momentarily. In particular, at the plan member level, we observed swift changes in demand for discretionary care, starting with medical services rendered in May and June. This supports a growing consensus that health plan members are postponing or forgoing non-emerging care and are slightly more hesitant to spend out of network given the environment. Together, these identified savings volume and mix factors explain about $19 million or roughly half of the revenue decline between this quarter and last quarter. As I mentioned, also affecting our revenues this quarter was the anticipated impact of a partial program loss as a customer decided to shift a component of its overall added network savings program away from us. The impact of that decision accounted for about $7 million to $8 million of the decline in revenue relative to the prior quarter. Such shifts happen from time to time in the normal course. As much as I'd love to say we went 100% of the time, that simply isn't the reality of any business. Importantly though, our relationship with this key customer, which is not our larger customer that recently renewed its contract with us, remains healthy. They continue to use the same breadth of our solutions in the larger portion of the program that remains with us. Finally, we had a number of customer-related adjustments during the third quarter. As shown on Page 6 and as Jim will discuss momentarily, these accounted for about $13 million of decline in total revenues. It's typical for us to experience various puts and takes in any given quarter, but our third quarter had an abnormal number of puts and few takes. Despite the third quarter results, I am confident that our business remains robust as evidenced by our strong margins and cash flow. We do not believe the third quarter is indicative of MultiPlan's long-term earnings power. Importantly, all of our payor customer relationships remain healthy. The vast group of over 100,000 employers and other planned sponsors we serve through these customers is essentially unchanged. We continue to be highly engaged with our customers to help drive deeper medical cost savings for the employers and plan members they serve. While patient utilization is soft, demand for our cost management services is strong, and we expect it to remain so given the widely reported decline in affordability of health benefits that employers and plan sponsors presently face. We believe it is unlikely that patient utilization will remain suppressed indefinitely, and while it is difficult to predict when it will rebound, we expect to benefit when it does, just as we have in the past. In the meantime, we continue to sell new business, and we expect these efforts to drive additional revenues in future periods. We are adjusting to prevailing market conditions, while maintaining our focus on growing the business and keeping our platform in a position to benefit from higher volumes when utilization recovers. With these objectives in mind, our leadership team is implementing an action plan for managing through uncertain market conditions as shown on Page 9. First, we are aggressively implementing new initiatives with our customers to help them cope with accelerating healthcare costs. This includes reviewing all of our solution configurations with our customers and intensifying efforts around enhancements to optimize their medical cost savings. We expect these initiatives to drive meaningful incremental identified savings for our customers and revenue for MultiPlan. In fact, we are already seeing results in this area. For example, this quarter we implemented enhancements to our Data iSight pricing service that are expected to add approximately $6 million in annual revenue, which will begin to ramp in Q4. During the quarter, we implemented or scheduled implementation of several solution hierarchy changes for payers to help them quickly pivot in response to changing market dynamics. Combined, these will generate additional savings worth about $14 million to $16 million in annual revenues to MultiPlan. Second, we have been fully immersed in product development and that effort has already yielded plans to launch several promising products in 2023. This includes one product focused on protecting members against balanced bills on non-NSA related claims and another that leverages machine learning to optimize claim routing between our solutions. We're also working with our partner, Abacus Insights, to bring our solution set to their customers on their data interoperability platform. Third, we are undertaking a review of MultiPlan's long-term growth strategy to ensure we are prioritizing our most attractive opportunities to more deeply penetrate our existing markets and to diversify into adjacent markets. The goal of the review is to amplify the progress already made against our strategy. Among other sides of this progress we've enhanced our solutions with advanced analytics and data to drive savings and service performance. To this end, today we have a team of about 15 data scientists implementing machine learning and advanced technology initiatives with a focus on surprise bill negotiation and arbitration strategies, data mining and prepayment negotiation services. We have also extended our service penetration in adjacent markets with organic initiatives and the acquisitions of HST and Discovery Health Partners, both of which target health plans in network claims and one of which also delivered significant business that we continue to grow in the Medicare Advantage market segment. I look forward to communicating to refinements to MultiPlan's growth strategy over the coming months. Fourth and lastly, as Jim will discuss in greater detail, we have identified internal cost saving initiatives, some of which already have been implemented. These will help offset inflationary pressures on our costs and provide capacity for the investments in our talent and platform that are critical to executing on the numerous projects underway and to capturing our growth opportunities. Now I'd like to turn to some other highlights that occurred during the third quarter. MultiPlan include 148 opportunity during Q3, that we expect to contribute approximately $13 million in annual revenues to the business with some of these, starting to contribute as early as Q4. Value driven health plan services continued to grow above our expectation. By January 1st we will have added 39 new employer groups with nearly 15,000 members. This would bring total members under these plans -- these types of plans to over 1 million. MultiPlan's itemized bill review service, which was announced just last quarter added two new customers in Q3 and there are an additional 40 opportunities progressing through the pipeline. There is strong interest in our subrogation service. During the quarter we submitted several proposals to regional health plans which could contribute up to $20 million in annual revenues. And finally, we added new network business during the quarter, including one commercial and two Medicare Advantage payers. Moving on to the No Surprises Act, I'm pleased to report that our claim activity is trending as expected. This is softening somewhat over the quarter given overall utilization. A number of our customers continue to use our core cost management solutions, while others use our new QPA-based pricing service. QPA is a benchmark established by the Act. While QPA isn't mandated as the reimbursement amount, it does play a role in determining the members' cost share and in Independent Dispute Resolution or IDR. The IDR process is still in its early stages and continues to be somewhat chaotic for payers and providers. As you may recall, when NSA's interim final rules for the process were published last September, provider organizations successfully sued in federal court. As a result, the government struck the portions of the NSA's interim final rule that had given primacy to the QPA and the IDR process. These changes were included in the final rules released this August. However, provider groups have sued again, citing additional aspects of the implementation guidance that they say still prioritize the QPA over other factors considered in arbitration. It remains to be seen how this continued pushback from the provider community will play out. In the meantime, we have closed 1,240 IDR cases and have another nearly 18,000 in process. With IDR likely to remain a changing and complicated process, we are confident our data, our analytics, and our operational expertise in this area will continue to deliver value to our customers. I would like to turn now to our outlook on the market environment and what that means for our fourth quarter expectations and the starting base for 2023. The third quarter results reported by a number of hospital and health services groups and the continued lower medical loss ratios at several major health insurers suggest that patient utilization remained soft in Q3 which due to our typical claims lag impacts our Q4 revenues. Utilization tends to be seasonally higher in Q4, but at this point, we have little reason to expect that our fourth quarter results will look better than those in the third quarter. As such, we are guiding to fourth quarter revenues between $235 million and $250 million and fourth quarter adjusted EBITDA between $155 million and $170 million. Changes to our full year 2022 guidance are detailed on Page 12 of the supplemental deck. While we're not providing guidance for 2023, clearly, our Q4 guidance implies we are exiting the year at a lower run rate than where we were, than where we started. And next year, we will have the impact of the contract renewal with a major customer as announced previously. We are cautiously optimistic that patient utilization could begin to recover more broadly. As I noted, we do not believe it can remain suppressed indefinitely. Further, we've seen periods like this before, COVID lockdowns being the most recent episode and utilization can return swiftly with an associated lift in our revenues. We're also optimistic that our planned product launches and other growth initiatives will provide some offset if the market softness persists into 2023. That said, visibility on when external pressures might abate is low, and as such, we feel it's prudent to recalibrate expectations for the time being. Consistent with our historical practice, we will provide full year 2023 guidance on our fourth quarter call this coming February. In summary, while third quarter results missed the mark and visibility on the road ahead has become more challenging, we will stay focused on controlling what we can control. That means driving meaningful progress on all fronts, by executing on our long-term priorities, selling new business, building our pipeline, investing in our people and solutions to drive growth, managing our cost and delivering high levels of value and service to our payer customers. Before I turn the call over to Jim, I want to say that I'm extremely proud of how our team is responding to these market conditions on their front feet, managing actively and focused on growing the business, all the while maintaining their dedication to our mission to deliver affordability, efficiency and fairness to the U.S. healthcare system and to deliver operational excellence and outstanding customer service. Thank you. With that, I'll turn the call over to Jim to discuss our financial results in more detail. Jim?
Jim Head: Thank you, Dale, and good morning everyone. I will echo Dale in acknowledging that while we remain confident about the strength of our business and our ability to grow long term, our third quarter was challenging and results fell short. I'll start today with my usual walk-through of the financial details and then provide some additional commentary about our outlook for Q4 and the action plan our leadership team is implementing to manage through the more challenging conditions for revenue. And I'll close with balance sheet, cash flow and capital allocation. As shown on Page 4 of the supplemental deck, Q3 revenue was $250.5 million, down 13.1% from Q3 '21 and down 13.7% from the prior quarter. Dale discussed the major components of the sequential decline, which are again detailed in the revenue bridge on Page 6 of the supplemental deck. I'd like to touch on some of these components in more detail and relate them to the decline in our revenues as a percentage of identified savings or what we call share of savings. Lower patient utilization in the healthcare system accounted for about $19 million of the change in revenues in the quarter. While total identified savings declined 4% sequentially, we experienced a much steeper decline in the savings categories that comprise most of our revenue. Specifically, as indicated on Page 8, identified savings related to our percentage of savings revenue model, which represents about three quarters of our savings volumes and over 90% of our revenues, that declined 7%, while our per member per month savings volumes actually grew 5%. The net volume effect accounted for about half of the $19 million impact from lower patient utilization. As our identified savings volumes declined, we experienced mix shift between service lines and products which unfavorably affected our revenues. This mix shift comprises the other half of the $19 million impact from lower patient utilization. Page 8 of the supplemental deck also presents identified savings as a percentage of our revenues. The share of savings declined about 50 basis points from prior quarter from 5.05% to 4.51%. This was driven in roughly equal parts by the identified savings volume mix shift I just discussed and the cumulative impact of the three other components that are each itemized on the revenue bridge on Page 6. These consisted of a $6 million impact from above-trend revenue yield in analytics based services during the first half of 2022 which subsided in Q3 and created a negative comparison, a $4 million impact related to customer contract adjustments and approximately $3 million of non-recurring one-time customer credits that were true-ups from prior periods. As Dale mentioned, our third quarter had an abnormal number of puts and few takes. Neither the NSA nor COVID were significant contributors to the sequential change in revenues. In fact, savings volumes and revenues related to our NSA services were a relative bright spot during the third quarter. NSA-related claims volumes were not as soft as overall claim volume as relatively lower level of discretionary and elective health services are included in the mix of NSA claims and as the conversion of in-scope claims to our NSA solutions otherwise continue to track to our expectations. Also notable, the change in revenues attributed to COVID testing and treatment claims was not a material component of the sequential change in our total revenues. Our net COVID-related impact in the quarter was approximately $4 million to 6 million, a small percentage of revenues and similar to last quarter and down from approximately $8 million to $10 million in the prior year quarter as detailed on Page 17 of the supplemental deck. We have mentioned that the net COVID-related impact is becoming less relevant with more distance from the initial lockdowns 2.5 years ago. We plan to assess the ongoing utilities providing this metric at the end of the year. Turning to Page 5 of the supplemental deck, revenues were down in each of our service lines in Q3 2022. Network-based services declined 12.1% year-over-year driven by lower patient utilization, lower COVID-related volumes, substitution of analytics-based services and some attrition of smaller clients that we had called out with our second quarter results. The network-based services declined -- based services revenues declined 7.2% sequentially, driven predominantly by lower patient utilization and lower savings volumes. Analytics-based services declined about 11.8% versus the prior quarter and 15% sequentially driven by lower patient utilization, the aforementioned partial program loss at one of our customers and the customer revenue adjustments, all of which were recognized in the service line. Payment Integrity revenues declined 21.9% year-over-year and 17.2% sequentially. The decline is attributable to our prepayment clinical negotiation business versus our Discovery business, which actually grew modestly. Our clinical negotiation business was softer from lower volumes, but also programmatic shifts to customers and the substitution of clinical negotiation with NSA services, which are part of our analytics reporting line. Turning to expenses, third quarter 2022 adjusted EBITDA expenses were $78.3 million, up from $69.9 million in the prior year quarter and down slightly from $80.5 million in Q2 '22. The increase versus the prior year quarter was caused predominantly by higher personnel costs due to increases in employee head count and year-over-year wage increases. The sequential decline in Q3 represents tightening on hiring and the initial impact of several targeted cost initiatives we've undertaken in response to more difficult market conditions. The bulk of the actions will be implemented in the fourth quarter and first quarter and will impact our 2023 base. Adjusted EBITDA was $172.2 million in Q3 '22, down about 21.2% from $218.4 million in the prior year quarter and down about 17.9% sequentially. Adjusted EBITDA margin came in at 68.7% in Q3 '22, down from 75.8% in Q3 '21 and down from 72.3% in the prior quarter, reflecting the revenue and adjusted EBITDA expense trends discussed previously. While we remain best-in-class with our adjusted EBITDA margins, our expense base is relatively fixed and therefore, our margins are often driven by the trajectory of our revenues in any given quarter. In the third quarter, net cash provided by operating activities was $109 million, and free cash flow was $88 million. As a reminder, our cash flow tends to be higher in the first and third quarters given the timing of our debt, interest and tax payments. Turning to our outlook on Page 11 of the supplemental deck, we are projecting Q4 '22 revenue of $235 million to $250 million. As Dale mentioned, our fourth quarter guidance embeds an expectation that patient utilization of the healthcare system remained sluggish in the third quarter. Even if utilization recovers in the fourth quarter, given our typical claim lag, it would be unlikely to material lift our Q4 '22 revenues. We are projecting Q4 '22 adjusted EBITDA of $155 million to $170 million. That guidance implies an adjusted EBITDA expenses of about $80 million, slightly above the Q3 run rate of $78.3 million. Our guidance implies an adjusted EBITDA margin of 66% to 68% for the fourth quarter. As part of the action plan our leadership team is implementing, we are addressing cost proactively. We've always been a very cost-conscious organization, and we are tightening our belt to help fund investments that we're making in the business and to also preempt inflationary pressures on cost. The goal is to contain expense growth in 2023, while keeping our platform in a position to benefit from higher volumes when utilization recovers and maintaining our focus on delivering for customers and growing the business. Turning to the balance sheet and capital. Our total and operating leverage ratios net of cash were 5.4 times and 3.9 times respectively, effectively unchanged from the prior quarter. We ended the third quarter with $439 million of cash on the balance sheet and combined with the maturity schedule of our debt instruments, we have significant financial flexibility. Our business continues to generate substantial cash flow, which allows us to balance investing in growth of the business and reducing our leverage. As we have discussed previously, we will continue to take an opportunistic, but balanced and disciplined approach to deploying our cash and are considering all options given these unique market conditions. That brings me to the end of my comments. I'd like to turn it back over to Dale.
Dale White: Thank you, Jim. Before we open it up for Q&A, I want to acknowledge again that it was a tough quarter for MultiPlan and for companies inside and outside the healthcare sector, many of them household names. By no means am I sugar coating, these results are a disappointment, no question. And as any company does, MultiPlan has had its highs and lows. In my 20 years with the company, I've had a courtside seat to most of them. We always capitalize on the highs to become an even stronger partner to our customers, and we always come through the lows with renewed focus and energy. I believe this time will be no different because in our view, MultiPlan has the best fundamentals in our space. Operator, would you please open it up -- would you kindly open it up for Q&A?
Operator: Of course. [Operator Instructions] The first question comes from Joshua Raskin from Nephron Research LLC. Please go ahead, Joshua.
Joshua Raskin: Thank you, good morning. So, [technical difficulty] question kind of sequentially here. So the first thing, I just want to make sure I understood your commentary, Dale, around 2023, it sounds like you expect the 4Q run rate to sort of continue or at least now what you're seeing in 3Q to continue. So, can we assume that 2023 is expected to be down relative to the 4Q run rate because the customer -- the big customer [technical difficulty] run rate?
Jim Head: Yes, Josh, this is Jim. I think, well, I'll offer a couple of observations -- a couple of dimensions. Number one, we're not providing 2023 guidance, and I think we're going to have a lot more visibility on run rate at the turn of the year than we have right now. So, I would say, on one hand, we are acknowledging that the run rate of the business today is, third and fourth quarter look a lot like, but I don't think we're ready to kind of make a prediction as to what next year is going to look like. I do think that as we said in the second quarter earnings call, we do have this customer contract adjustment which is going to be a headwind to growth. We've talked about that being muted flattish in terms of the impact, because it will be an offset to other initiatives and other growth areas, as well as it could be all things being equal, it's kind of a flat environment. So I think it's too early to say, Josh, there's a little bit of ambiguity on Q3 and Q4 because of utilization, but as we've seen in prior cycles, that can change relatively soon, and I think we'll have a better handle on that after our -- with our fourth quarter announcement.
Joshua Raskin: Okay. So it sounds like if 4Q utilization were to be the run rate [technical difficulty] this customer adjustment will be a headwind, right? So, but to your point, there is new growth and that sort of thing. The other question is, the slides, looking at the sequential change of $39 million decline in revenue. Only $3 million was kind of termed as not recurring. It seems like just a huge drop in utilization and I understand you kind of went through the litany of issues. But can you confirm that, that was the only catch up in that -- there was no other sort of retroactive adjustments or anything that was maybe overstated in the first half of the year and then what specifically was the $3 million customer adjustment for?
Dale White: Yes, so Josh want to make sure I understood. Let's talk about the one - let's maybe go to refer to Page 6, and just to kind of provide some specificity. Once the, the one-time customer adjustment, that $3 million that's just true ups from frankly some 2021 claims et cetera. It's not - it's not unusual given our revenue accounting that we could have some retroactive - true-ups. But it is, it doesn't happen very often. So those are one-time kind of true-ups against the past. I guess I would call and I'll just walk across this the - contract adjustments. Those are - kind of modifications with customers along the way that - I wouldn't say normal course, but they happen and there about $4 million of adjustments in this quarter. And then last but not least, I want to call it the yield normalization because that is, that is less about, that's a lot more about performance then history, so to speak, in the sense that the yield normalization we have utilization of savings that we present - to our customers. And we accrue to historical yields and what happened in Q1 and Q2, and it took a little bit of digging, we were just performing above our accrual levels historically. And that's because whether it was COVID or some - other classes of claims where our clients were just accepting an abnormally high level. In Q3 largely because of some of the volume shifts et cetera. It normalize so what that means is we have a comparison issue. It's less about business walking out the door, it's more like the yields have come down a little bit in some of those areas, particularly in our analytics business and it just creates a tough compare against last quarter. So we wanted to call that out. So you understood where we are today. So I hope that help in terms of the compulsory
Joshua Raskin: Yes, yes so it sounds like it's not necessarily run rate and environmental quarterly, but I understand you're resetting to a lower level right that the recurring is that it continues in the future. Not that you're expecting these sorts of headwinds every quarter.
Dale White: Exactly and listen, we see this - kind of the benefits of volume when things come in a little bit high. Our yields are a little bit higher elective surgeries, which are oftentimes big tickets, the ortho is et cetera can enhance our yields and when volumes recede. And I think you kind of parse through the detail here, but our volumes came down about 7% in our percentage of savings categories. You could argue that they were even higher in some of the discretionary categories, because our NSA claims were steady. And so we - could kind of get that the benefit when it swings up and we get the decrement when it swings down.
Joshua Raskin: Okay, got you. Thank you.
Operator: The next question comes from Daniel Grosslight from Citigroup. Please go ahead, Daniel. Your line is now open.
Daniel Grosslight: Hi guys, thanks for taking the question. I want to stick with Slide 6 for a little bit and really focus in on the $8 million program-related attrition. Curious if you have any color on where that client wins, what was the issue with that program? Specifically, if there is pricing pressure competition, et cetera. Just a little more color on the $8 million program-related decline?
Jim Head: Right thanks, Daniel. It is a look - as I said, and I've said repeatedly, we always like to win 100% of the time. In this case, the customer made a decision to shift part of its business and part of this work to a competitor and not have all that takes in one basket. And so from that perspective, it didn't - the client's customer didn't - change it service portfolio with us how it utilizes us all the same services that the client. The customer utilized prior to the change is the same array of services they use us - use through us today for the lion's share of the business.
Daniel Grosslight: Okay, make sense and then it seems like you're generating more of your revenue from PEPM versus shared savings, is that just a 3Q and maybe 4Q issue and you expect that to normalize back in 2023 or should we think about more savings coming through PEPM which will continue to weigh on your revenue yield in 23 and beyond?
Dale White: Yes and we're being a little bit more transparent on that mix because the PEPM waiting, so to speak in that savings is getting if it continues to grow. It's going to be a bigger - component of it. So it does - speak to a little bit of yield degradation by just virtue of volume right. In our 10-Q, we call out the revenues on a percentage of savings versus PEPM. So I think that - you will have the tools, I think between our schedule on Page 8 versus the 10-Q to kind of think through some of those yield implications, but you're absolutely right as we, as we grow our PEPM business, the savings that are going to be attached to that or associated with that we will continue to grow. That's our network side, and it's also or HST right.
Jim Head: And as I noted in my comments, Daniel, the value driven health plan business grew substantially coming just January 1 right. I think we're adding 39 groups, almost 15,000 new lives and we're, we've already exceeded 1 million total lives. So as that continues to grow and that business in particular is based on a PEPM and model it will take - a bigger piece of our revenue.
Daniel Grosslight: Okay and last one for me, just on EBITDA, you guys mentioned you have really good incremental margins, but on the way down, you have high detrimental margins. So I'm just curious for 2023 if we don't see a nice rebound in utilization, are we going to be kind of at the same run rate of EBITDA margin as you are in Q3 and Q4? How much cost, can you actually take out of the business if you don't see that return to utilization. And then just one - kind of accounting thing I guess for EBITDA this quarter there was a $28.5 million add back in EBITDA for expenses where did that come from?
Dale White: Okay, why don't we take the margin question first and then we'll hit the transaction expenses, the margin what I can do is give you a little bit of context on the expense side, because the margin will be, as we said, it's going to be a function of what kind of revenue assumptions you're going to make, but the one thing that we can control is our expenses. Now having said that it's relatively fixed, we've got $78 million of EBITDA expenses in Q3. We've got, we're predicting $80 in our guidance so, just kind of think of that as a run rate. What we're trying to do here is identify cost to mitigate the inflation of that base for next year. So you can imagine that we're probably the most cost conscious company out there - given the margin profile we have today. We still have some opportunity to sharpen our pencil on cost, but it is relatively fixed. And we don't want to be in a position where we missed out on our customer commitments and our revenue opportunities by cutting our costs too thinly. So we're taking, a very disciplined approach to this, but you should not expect that our costs are going to take a shift down, so to speak, in 2023. I think what we're trying to do is mitigate what you could call an inflationary rate against that cost base and then find some areas of investment and we'll call out those investment areas in our guidance in 2023. So let's you - some context on how we're thinking about it and then as we talked about the 2023 revenue it's going to be a little bit of a function of where we kind of enter the new year and that will drive the margin on whether it's 68 or otherwise. And then secondly, Daniel, you asked about transaction expenses in our adjusted - the non-GAAP EBITDA. And you're correct. There was an increase of transaction related expenses in Q3 of about - you see about $27 million in the schedule. This is non-cash. The vast majority of that figure relates to reserves that we accrued this quarter for litigation of prior transactions. Now as a policy, we're just not going to comment on any pending litigation. But I would just say that you can look at our 10-Q or public disclosure and we call out, what that means, essentially in our filings.
Daniel Grosslight: Got it. Appreciate the color. Thanks guys.
Dale White: Thanks Dan.
Operator: The next question comes from Cindy Motz from Goldman Sachs. Please go ahead, Cindy. Your line is now open.
Cindy Motz: Thanks for taking my question and thanks for the detail. I just had a couple, but just following up on that last thing, you said Jim about the litigation reserve. So, yes, because just in looking at the G&A that was reported and then obviously weather wasn't add-back of $28.5 million or so, that litigation expense, I mean is that going to continue. It's non-cash and it's not going to continue, correct? Or how does that work.
Jim Head: We can't comment on -- whether it will continue or not, but I think the right way to describe it is, if we're putting a reserve on the balance sheet, it's because there is an estimate and I think I would just go to our public disclosure in the 10-Q and it explains our cause, how we -- our philosophy on that.
Cindy Motz: Okay. And then just some housekeeping with the expenses. So, the gross profit margin is about 78%,79%, is that correct? Am I am I getting that right.
Jim Head: Yes, if you're tackling it off the press release, it's fine. We typically look at our EBITDA margin versus our growth but in the 10-Q, it will have the breakout the gross margin, personnel expenses etcetera and then the G&A side of things. That should be able to bridge any questions you have.
Cindy Motz: All right. Okay. And just one, just going back to the revenue bridge because there's good detail on Page 6 with the revenue bridge, so obviously explain utilization, it looks like the yield is related to this just with the customer loss, as well as partial do you expect potentially and maybe other losses with this customer others. I know it's hard to predict, but are you I understand about utilization everything, but do you feel like the competition is increasing, like, is it coming down to price or just any other color. I know you've already talked a lot about the macro but just anything on the competitive situation around pricing would be helpful. Thanks.
Jim Head: Yes, Cindy we always have competitors as every business does right, and so we like our chances, we always have a right to win and but we never win about a 1,000%. And so from our perspective, we have a great set of services, we have a great client roster, our services are broad, they are sticky, they provide flexibility for every market shift and including the one we're facing now. And we've, I think we have a proven track record to grow both organically and through acquisitions and we clearly accelerated integrating and cultivating those businesses we acquire. And so yes, we have competitors and -- but we compete every day and I like our chances.
Cindy Motz: Okay. Thanks for taking my question.
Jim Head: Thank you.
Operator: The next question comes from Steven J. Valiquette from Barclays. Please go ahead, Steven. Your line is now open.
Steven Valiquette: Great, thanks. Good morning, everybody. So a couple of questions here. Again the revenue bridge on Slide 6 is definitely useful, I guess just to simplify things, thinking about going from Q3 to Q4, you're sequentially guiding for both revenues and EBITDA to be down sequentially in 4Q versus 3Q, but what's the single biggest factor that drives that downward trend sequentially. If you have to point out one from all the moving parts. The second question is, I didn't really have time to go look up all the various debt covenant before the earnings call this morning. But the downward trend in EBITDA, let's call it $650 million annualized run rate, if you just take the fourth quarter guidance times divide by four, does that put the company in jeopardy of chipping any debt covenants in the next year. You showed the current leverage ratio on Page 14 in the slide deck. But -- where I was going to come down into next year and also is your credit definition EBITDA comparable to what you're showing for equity EBITDA in the slide deck today. Thanks.
Dale White: So why don't we make sure I got this, I'll answer the covenant and the debt EBITDA. The debt-EBITDA and what we put in our press release are the same. So just you understand the -- they're consistent. Our covenants are largely incurrence versus maintenance. So I don't think we have any material covenant issues coming up and we obviously monitor that pretty closely. I'd also just point out that, our maturity schedule, which you'll see in the supplemental deck. We're not up against any looming maturities the convertibles are -- end of 2027 and the rest of our capital is at 2028, our term revolver is a little bit sooner than that. But the major components of our debt structure it turned out. So we've got flexibility here, as we navigate through a little bit of a soft patch. So I hope that answers your call -- your debt questions. And then Q4, I think the simplest way to describe it, Steve, and it's a good question is let's say our July run rate revenues, etcetera, which reflects April-May timeframe, what was included in our Q3 was higher and as we went through the quarter we get to September, which is reflecting kind of June, July environment, it was down. And so we're kind of managing through that downturn with a run-rate beginning the quarter that's just lower than the run rate beginning last quarter. And so that's a major rationale for why we're little bit lower.
Steven Valiquette: Okay, that's helpful, thanks.
Dale White: Thanks Steve.
Operator: The next question comes from Rishi Parekh from JPMorgan. Please go ahead, Rishi.
Rishi Parekh: Hi, thanks for taking my questions. And I apologize, I've been hopping around on calls. So if you've already answered these questions, I apologize for that. One, on the customer lives. Is it reflective of the, you know, is that lost for the entire quarter or is it just a portion of the quarter. And if you were to, if it's just a portion, what's the loss of the entire quarter. And as it relates to that customer, was that loss -- as it relates to a competitor, did it move in-house or was it a, I think you had noted as a competitor, I just want to make sure it did not move in-house. And what area did it impact, was that iSight, was in the Network Business, was it Payment Integrity and was that loss mostly due to price service. I was hoping you could provide some more details as to what led to that loss. And I have a follow-up.
Jim Head: Okay. Let's break that down. The $8 million is the full quarter. The shift occurred literally on July 1.
Dale White: July 1
Jim Head: July 1. And it affected mostly our analytics side but in negotiations. But again, I think as Dale mentioned, it's a little bit more of a customer spreading the eggs around in their basket versus going in-house.
Rishi Parekh: Okay. And then on the utilization. Can you maybe just break down what areas were impacted, was the most of elective surgeries, was it related to the NSA related claims, behavioral health. I was hoping that maybe you could rank or bucket what areas were impacted in that utilization?
Jim Head: Yes, it's interesting. It is not -- NSA was as we said, was a bright spot. And it was mostly -- 
Dale White: I think it was mostly in areas you would expect, Daniel, I'm sorry, Rishi, in the elective category. So facilities like ambulatory surgical centers, general surgery, orthopedics, PT evaluations, Cairo musculoskeletal, those were the types of services that were largely impacted.
Jim Head: Yes. And we can see that in the claims Dale that we're processing, i.e. savings categories, some of this is less severe and more non-emergent and more elective categories were down, were down even more than the average 7% rate that we saw. And it affects our business because a lot of that is processed through Data iSight where there's really attractive savings. And so that, that's part of that product mix shift in that $19 million, we're talking about Rishi.
Rishi Parekh: All right, thank you.
Operator: It appears we have no questions at this moment, I'm going to conclude today's call. Thank you everyone for joining and have a lovely day.